Operator: Good afternoon, and welcome to the West Midstream Partners Third Quarter 2019 Earnings Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Kristen Shults, Vice President of Investor Relations and Communications. Please go ahead.
Kristen Shults: Thank you. I'm glad you could join us today for Western Midstream's Third Quarter 2019 Conference Call. I'd like to remind you that today's call, the accompanying slide deck and last night's earnings release contain important disclosures regarding forward-looking statements and non-GAAP reconciliations. Please see the WES 10-K and our other public filings for a description of factors that could cause actual results to differ materially from what we discussed today. Those materials are all posted on our website at www.westernmidstream.com. I would now like to turn the call over to our CEO, Michael Ure.
Michael Ure: Thank you, Kristen, and good afternoon, everyone. On the call with me today are Mike Pearl, our Chief Financial Officer; Craig Collins, our Chief Operating Officer; and Jaime Casas, our former Chief Financial Officer. Since becoming CEO on August, I've had the pleasure of meeting many of the talented individuals at WES in both our field and corporate offices. I truly am motivated by the passion they have for their work and their desire to see the company thrive.  These individuals are the reason why WES has grown adjusted EBITDA from less than $100 million at IPO to current year midpoint guidance of $1.7 billion. I am privilege to be a part of this team and look forward to working alongside such committed and dedicated workforce.  Since early August, a premier management team has been assembled at WES, this includes Mike and Craig joining me on the call today as well as Chuck Griffie, our Senior Vice President of Operations and Engineering; Bob Bourne, our Chief Commercial Officer; and Catherine Green, our Chief Accounting Officer. Each of these individuals has decades of experience in the oil and gas sector and within their respective areas of expertise. Mike and Craig previously served on the WES management team. Mike as the CFO at the time of Western Gas Partners IPO and Craig as COO as recently as 2018.  Chuck has over 18 years of operations and engineering experience. The majority of which has been spent with Anadarko. Bob brings more than 30 years of midstream corporate business development experience to WES. And Catherine has served in a variety of leadership roles within Anadarko accounting over the past 18 years. We've also appointed additional Vice President's to provide leadership in key areas. All of these individuals bring decades of experience to WES in their respective fields with many of these appointments come from legacy Anadarko and WES, which ensures the preservation of institutional knowledge and the streamlined transition of WES into its next phase.  Please visit our website for further details on these key leaders. I truly am excited about the assembled team and look forward to continued success that WES has enjoyed since its IPO.  WES' expansive asset portfolio is focused in the Delaware and DJ Basins, which are, in my opinion, the premier onshore basins in the U.S. In the Delaware alone, we have dedications for approximately 850,000 acres, additionally, more than 92% of our natural gas volumes and 100% of our crude and water throughput are supported by fee-based contracts that are insulated from direct commodity price exposure. More impressive is our average contract life of approximately 10 years with cost of service contracts and minimum volume commitments.  I strongly believe that WES is positioned for long-term growth and success with the amazing individual talent and an experienced leadership team in place. I have no doubt that WES will continue to excel. We're excited about the completion of the acquisition of Anadarko and Oxy. Oxy is a world-class oil and gas company with the best-in-class U.S. onshore portfolio that is complemented by Oxy's proven operational and technical excellence. We look forward to continuing a long-term meaningful relationship with Oxy, our relationship is mutually beneficial to both companies.  There are three focus areas for WES. First, we must optimize our existing assets in place today while maintaining the health and safety of our employees, contractors and the communities in which we operate. This means maximizing the operability of our assets and realizing cost and capital savings. We are working to improve efficiencies between our commercial, engineering and operations groups to provide our customers with best-in-class service. To realize these efficiencies, we are taken significant steps to reorganize WES as a business unit within Oxy. We believe this reorganization will enhance employee focus, which in turn will empower employees to generate ideas for providing improved customer service, establish better accountability and allow WES to better align its compensation incentives with its own performance. We've been working through the reorganization process for the last few months, and we're excited with the results we've seen and the feedback that we have received.  Second, we are confident that we can continue to grow WES' business with the support employees and our sponsor Oxy. We look forward to building on existing relationships and will remain well positioned to support Oxy's development plans in the Delaware and DJ Basins. Oxy recognizes the tremendous value that WES provides and has expressed its support to drive long-term value for both companies.  Finally, we are focused on growing our third-party business. Since our appointments, Craig and I have met with multiple customers to share our vision for WES and to convey the importance of their existing and prospective new business. Our efforts to grow the third-party business are supported by a renewed emphasis on ensuring that we have the necessary capabilities to serve all our customers across the basins in which we operate. Through our expertise, innovative designs and efficient capital deployment, we are focused on delivering improved service to all our customers.  I would now like to turn the call over to Mike Pearl, our CFO, to discuss our third quarter financial results
Michael Pearl: Thanks, Michael. Yesterday afternoon, we reported quarterly results with adjusted EBITDA of $410 million and distributable cash flow of $304 million with a coverage ratio of 1.08%. These results were impacted adversely by approximately $15 million related to since resolved downstream constraints that temporarily impacted our Rocky's assets.  Our operation and maintenance expense for the quarter increased by approximately $28 million on a sequential quarter basis. This increase primarily relates to higher seasonal electricity cost in the Delaware Basin, additional field level compensation true-ups and additional surface use fees in West Texas related to our expanding water business. While this expense is greater than prior quarters, it nevertheless is in line with our expectations and indicative of our expected O&M run rate for the fourth quarter of 2019.  I will now turn the call over to Craig to discuss third quarter operations.
Craig Collins: Thanks, Mike. Operationally, gas throughput decreased by approximately 80 million cubic feet per day quarter-on-quarter. This decrease primarily was driven by lower throughput from our DJ Basin complex as a result of downstream constraints that were resolved mid-quarter and it should not impact future operations. We saw quarter-on-quarter increased throughput at our West Texas Complex where we benefited from additional compression leading to third-party and affiliate volume growth. By the end of the year, we expect to add over 140 million cubic feet per day of compression capacity, which will ramp up throughput at our West Texas gas processing complex. Turning to liquids. Our quarter-on-quarter throughput increased by approximately 85,000 barrels per day. This growth was driven by a 13% increase from our DBM water assets where we brought three additional saltwater disposal facilities on line, and a 14% increase from our DJ Basin crude assets.  As expected, our per barrel liquids gross margin returned to a normalized level of $1.81. As our water business continues to grow, we expect our overall liquid margin to track lower. However, compared to crude, the water business generates higher returns notwithstanding the associated lower per barrel margins. Also during the quarter, Cactus II commenced operations and is expected to ramp up heading into early 2020. This investment is a great example of our continued focus on our portfolio of equity investments, which complement our in-basin gathering and processing assets, providing cash flow diversification and economic upside further down the value chain.  We will continue to fund strategic equity investments that complement our existing asset portfolio as these opportunities arise, either through our sponsor Oxy or through our own organic business development efforts.  I also would like to comment on our Latham gas processing plant in the DJ Basin. Plant dry out operations will begin within the next week, and we expect to process gas in the next two weeks. We expect to see improved margins as we transition from bypassing to processing these volumes. Additionally, we expect the second Latham train to come online early next year.  I will now hand the call back over to Michael for concluding remarks.
Michael Ure: Thanks, Craig. I'd like to spend a few minutes discussing our current guidance and next year's outlook. As it relates to 2019, we expect capital to be near the low end of our guided range. With respect to 2020, we will release our official guidance early next year. However, there are few items that we are comfortable sharing today by way of a preliminary outlook.  First, we expect significant year-over-year adjusted EBITDA growth of approximately 10%. This is a result of our continued focus on our Delaware operations, including six additional saltwater disposal facilities, an additional 30,000 barrels per day train at the North Loving ROTF, for the gathering system build out related to Oxy development plans in the Delaware and DJ Basins, and a full year of distributions from our Cactus II equity investment.  We also expect continued economic benefit from increased throughput in the DJ Basin once Latham I and II ramp up during 2019 and 2020. For 2020, we expect a decrease in total capital between 20% to 30% compared to the $1.35 billion midpoint of our 2019 guidance. Also maintenance capital as a percentage of adjusted EBITDA is expected to be proportionally in line with 2019.  Finally, the extensive buildout of our Delaware Basin infrastructure over the past three years yields 2020 capital forecast benefits resulting from economies of scale, they're available as a result of our prior investments and the associated efficiency of this infrastructure buildout.  For the past 27 quarters, WES has increased its distribution. We intend and expect to continue quarterly distribution growth, taking into account our goals of lowering leverage and increasing distribution coverage.  Before I conclude my prepared remarks, I would like to thank employees and contractors for their continued focus on safety, dedicated service and contributions to the overall success of WES. I also would like to thank our investors for their continued interest in WES. I look forward to working with all of you into the promising future that we will build together.  With that, I would like to open up the line for questions.
Operator: [Operator Instructions]. And today's first question comes from Shneur Gershuni of UBS.
Shneur Gershuni: I was wondering if you can -- if we can start with the CapEx outlook for 2020. When I think about the total dollar, like the big dollar amount itself, I was hoping you can sort of reconcile something for me. The message from Western Gas -- and I recognize it's now Oxy as the GP versus Anadarko, but the message was high 2017, high 2018 CapEx was spent to oversize the system for the surge of Anadarko volumes. And then when I sort of think about where your 2020 guidance is today, it's not that different from where you -- where the expectation was for 2019 was originally when it was presented late last year. So it kind of feels like the volumes have been effectively pushed out a year. And so when I sort of squirrel that together, I kind of think that the CapEx should be down significantly more than it is, and I was just wondering if you can sort of reconcile that for us and where this spend is actually coming from.
Michael Ure: Sure. Thank you for the question. This is Michael. As referenced in the prepared remarks, we're still in the midst of an important organizational effort. We're excited about the talent that we've been able to assemble. We think that this resolve is related to capital efficiency and returns. The preliminary 2020 outlook, I would say, does not provide for -- to fully capture all of those benefits of that reorganization and, therefore, we think that the estimates we've put out there are both achievable and conservative. Some of the difference is a little bit related to the work that we've been doing with Oxy and their development plans and some of the locational differences in terms of that full-scale development relative to what was expected at the time of Anadarko's ownership.
Shneur Gershuni: That makes some sense. Just following on the strategy that you've presented about having dedicated employees. Can you walk us through how that's going to work with the omnibus agreement on a go forward basis? As you as add an employee, do you reduce the agreement? Just some color on how that's actually going to work out.
Michael Ure: Yes. So as it -- also a good question. As it relates to how it's going to function as we sit today. All of this is just a reorganization that is still under the umbrella of Oxy. What we've engaged in, however, is a more fully focused -- a more focused employee base so that they can focus on WES more exclusively than was the case before. And so it isn't necessarily about increasing the percentage of employees who spent time on WES, it is more increasing the focus of each of those individual employees and the organization with which they are established.
Shneur Gershuni: Okay. And one final question. There were a lot of headlines coming out of the Oxy call earlier today about potentially selling Western Gas. Like can you talk to Oxy's commitment to Western Gas? Are we putting dedicated employees in so that it can be sold? Or what really is Oxy's commitment at this stage right now and how should we think about it?
Michael Ure: Yes. So we can't speak to Oxy's plans as it relates to WES, we'd refer those questions to Oxy. However, I would make the comment that the reorganization effort that we've undertaken is intended to yield benefits regardless of whatever the organizational or the ownership structure is from an Oxy perspective. We think that by and through this reorganization, by the increased focus of the employee base, it will yield better accountability, better results and drive efficiencies through the system.
Operator: And our next question today comes from Jeremy Tonet of JPMorgan.
Jeremy Tonet: Just want to start off with the 2020 preliminary EBITDA guidance that you guys laid out there. I was wondering if you could share kind of any building blocks or drivers that go into that as we tried to model it out ourselves. Is it fair to think kind of growth rate to Oxy lays out in the DJ, in the Delaware could be a good proxy for what you guys could see? Or what adjustments should we make there? Any help you could give us?
Michael Ure: So as it relates to the EBITDA, again, most of the growth is being driven in the Delaware. These forecasts have been worked together with Oxy, incorporating the forecast and expected development plans that Oxy has in both the DJ and the Delaware basin. So they are -- I would think of them as a lockstep to a large extent. Obviously, Oxy is our largest customer, not our only customer, but as it relates to those forecasts and throughput volumes, it has been worked in lockstep with Oxy and their planned development of the DJ and the Delaware.
Jeremy Tonet: Okay. Maybe I guess, flipping to the cost of service side. Kind of given how much capital that you guys have spent historically in these areas, should we be expecting kind of an uptick in the tariff, if not in 2020 or 2021? Could you just kind of refresh us on how we should think about coming truing up your investment there?
Craig Collins: Jeremy, this is Craig. We review those cost of service rates annually, and we've baked into our early numbers for 2020 what we expect those rates will look like based on our capital assumptions as well as the volume profiles that go into those models.
Jeremy Tonet: Okay. Just the last one for me I guess. Given kind of the strain in the balance sheet right now, we're running with higher leverage than you had before and also coverage being a bit tighter, I'm wondering how you think about distribution growth at this point. Obviously with the units yielding in double digits, doesn't seem like there is a big reward for current distribution or even growing it. So at what point would you guys kind of bring in that distribution growth to kind of bolster the balance sheet a bit more here?
Michael Ure: Yes. So we have provided guidance as it relates to 2019 distribution growth. We still expect to be in the 5% to 6% range on a year-over-year basis. Post 2019, we expect to continue to have sequential growth in the distribution, but we do not have a current target growth rate trying to also take into consideration a goal around higher coverage as well as to reduce leverage.
Operator: Our next question today comes from Gabe Moreen of Mizuho.
Gabriel Moreen: I was wondering if you can talk a little bit more about the third-party efforts that you're pursuing, which basins you see the most opportunity? Obviously, you've had a little bit of success in the DJ so far. But as far as also -- whether those third-party efforts are also meant to be additive to, let's say, Oxy's commitments from, let's say, a minimum volume commitment side? Or are you also looking to -- for other deals like you had in the DJ where maybe you get some third-party business? Do you, I guess, plan some of Oxy's commitments to WES?
Craig Collins: Thanks for the question, Gabe. Yes, I think that's something that we're very focused on is growing our third-party platform and frankly, all of our assets, but with a particular focus in the DJ and Delaware where we see the most upstream activity going on in the near future. And so as we look at the DJ, for example, that's a significant amount of third-party volume that we've had under contract for some time, and we continue to grow that. I think if you look at operationally, the way we operate our assets up there in the lower system pressures that we are able to demonstrate relative to our peers, it puts us in a very good position to attract that incremental third-party business. And I think we'd take that same approach down in the Delaware where we've got an extensive asset footprint across some of the very best rock in the basin, we think. And as we look at opportunities to bring incremental volumes on both from the gas gathering and processing side as well as into the water gathering and disposal assets, we see a number of opportunities, and we've taken steps over the last few months to strengthen and add additional resources to our commercial development team. And as Michael noted in the opening remarks, we spent a lot of time with our customers since we came on board in August and are very committed to that platform going forward.
Gabriel Moreen: Great. And then maybe I'm just going to follow up on the DJ. To what extent Cheyenne Connector has proven a constraint or not to anyone's volumes out there? Maybe the outlook over the next couple of quarters until that comes online.
Craig Collins: Yes. I think if we go back to when Cheyenne Connector was originally sanctioned, I think the overall volume growth of the DJ has not increased at the pace that everyone may have thought. And so we see the residue constraints out of the DJ as being limited to not particularly a factor over the next several quarters, and the timing of that project will sync up very well with the incremental processing capacity that's going to come online.
Gabriel Moreen: And then just one last one. I just overall -- just wanted to confirm there is no plans at this point in time for equity issuance as far as funding CapEx through for this year or next?
Michael Pearl: Yes. Thanks. This is Mike. Yes, at this time there is no plans to issue equity.
Operator: And the next question today comes from Sharon Lui of Wells Fargo.
Sharon Lui: On the Oxy call, management had indicated, I guess, some efforts to improve WES' operations mainly reducing some downtime. Can you maybe talk about that and maybe quantify the potential benefit?
Craig Collins: Thanks, Sharon, for the question. I would say that historically, our downtime in each of our assets has been comparable with our peers. But if we look at the DJ for example where we've had an established position, our downtime has been very, very low and it's really an exemplary asset within our portfolio and that's what we strive for across the board. We monitor on a weekly basis, monitor and track our downtime, and we continue to drive towards differential performance in our operations through asset optimization and enhance reliability. This will be an area of focus for us going forward, both in the Delaware Basin as well as in all of our assets because we feel like as we're able differentially perform relative to our peers, it will result in incremental business for us, both with our sponsor as well as with third parties.
Michael Ure: We're also very energized by the joint effort in this regard and as much as downtime is reduced across the board regardless of where that might come from, obviously, that results in incremental throughput through the system. So it's beneficial to all parties, we're actually really excited about the joint effort to try and minimize any operational challenges that there may be throughout the system.
Sharon Lui: Okay. Great. And just to clarify, I guess, the outlook for 2020 in terms of throughput. Is the expectation that WES volumes will mirror that similar to Oxy meaning like a 5% growth, I guess, in volumes?
Michael Ure: Yes. I'd just make a couple of comments, and I would refer you back to Oxy for any other specifics. But a corporate volume profile for Oxy does not necessarily translate into a throughput profile for WES. Obviously, it is relevant where that capital is concentrated and, therefore, whether or not it impacts WES on a go forward basis. The EBITDA projections there, the preliminary outlook that we provided yesterday afternoon are inclusive of the expectations of the development plans of Oxy in both Delaware and the DJ basins.
Sharon Lui: Okay. And I guess in terms of your growth CapEx for 2020, is there a rough split between the different regions that you can provide?
Michael Ure: We're not yet -- so this is just a preliminary outlook. It's -- we have briefed the Board with regards to this, but it is Board approved. We have provided the outlook really at the request of a lot of our investors to get an update on operations post the transaction with Anadarko and Oxy. So we're not yet at liberty to be able to give specific comments as it relates to that capital forecast. But obviously, once it becomes a Board approved then we'll be providing additional detail.
Sharon Lui: Okay. And I guess the last question. I think in your Q, you've provided some disclosures on your exposure to Sanchez. I think it was like 10% of your gas volumes. Is there a way that you would be able to quantify, I guess, the dollar amount?
Michael Pearl: Not specifically, we can't quantify that dollar amount. We don't at all believe it to be material even in a worst-case scenario. As we sit today, the volumes are still flowing per the gathering agreement, Sanchez prepays those fees. There has been no issue with respect to receiving those prepayments, and at this point, we don't have a reasonable estimate as to something that would be material from a downside type scenario perspective.
Operator: Our next question today comes from Elvira Scotto of RBC Capital Markets.
Elvira Scotto: Can you maybe -- going back to third-party business, can you maybe provide a little more detail on what you're doing specifically to attract more of business? I know it's early, but I think you've said you've maybe talked to some potential customers. What's been the feedback? And then in terms of your 2020 guidance, is it correct to assume that this preliminary EBITDA guidance does not include any incremental third parties? And that if you do sign, there would be upside to that?
Craig Collins: Yes. I'll start with your second question first. In our 2020 outlook, we don't have any uncontracted business incorporated into our numbers. And so we see a significant amount of opportunities, both in the DJ and Delaware primarily, where we have both on opportunities for incremental third-party business. Our strategy around that, it's almost really twofold. First, we're working closely with our existing customers and looking at ways we can either extend or increase the dedications and commitments from them. We're also looking at customers, for example, that we're providing gas gathering and processing services to, we're talking to them about handling their produced water. So we're working with our existing portfolio of customers, which includes some of the top names in the Delaware Basin. And then it also approaching other parties that we have not done business with in the Delaware, and those range from small independents all the way up to some of the larger names that people are very familiar with.
Elvira Scotto: [Technical Difficulty] think that just based on discussions, so again, I know it's early, but do you think that you could secure some additional third-party business that could drive upside to your 2020 numbers?
Craig Collins: Yes. I mean -- I think we have best-in-class assets in the Delaware and the DJ that cover a large acreage positions, and alongside those assets are several producers and we're working with many of them today to look at ways to enhance their growth targets in 2020 by providing them near-term midstream services. And so we do see incremental opportunity in 2020 from those opportunities that frankly would be very capital efficient given the extensive incumbent position that we have from an infrastructure standpoint.
Elvira Scotto: Great. And then in the past, Western Midstream used to call out the Powder River Basin as sort of the third legs of the stool, I'm thinking about the growth. I mean as PRB still a longer-term growth opportunity for WES?
Michael Ure: We do view it as a longer-term growth opportunity. If you listen to the Oxy call, it was referenced that within 2 to 3 years, they expect the Powder River Basin to be competitive from a capital standpoint. And so we absolutely have it on our radar, and we look -- and are actively looking at ways in which we can participate in the development that may occur out there.
Elvira Scotto: Got it. And then just a last one for me. Just remind me, did Anadarko or WES have an option to buy into the Cheyenne Connector?
Craig Collins: Yes. WES had an option to buy into that project, and it really fit into the historical strategy that Anadarko and WES employed, which was to make a downstream commitment and to get an equity -- an option to participate from an equity standpoint. And I think as that project is materialized, we've come to the conclusion that it didn't -- it was neither strategic for us nor did it meet the investment criteria that we wanted it to meet in order for us to participate in that, so we declined to participate.
Operator: The next question today comes from Derek Walker of Bank of America.
Derek Walker: Most of my questions have been answered. And maybe just a follow-up on the third-party questions from Gabe and Elvira. Can you just talk a little bit about how you're seeing some of those -- how those margins are coming to fruition when it's on a cost of service emphases or maybe just traditional previous contracts? How that compares to legacy Anadarko contracts, just given the current competitive environment?
Craig Collins: Yes. This is Craig again. And I'll speak to that. I would say the legacy Anadarko contracts were contracted in a different market, and we're contracted with a mind towards following a development program that was intended to delineate a large acreage position. And so that was really the genesis made those contracts and the structures behind them. What we're seeing today in the market is particularly with third parties is focused acreage positions that need to take away capacity either on the gas side or on the produced water side, and we're positioning ourselves to be able to provide those services. I think as everyone understands the basins that we operate in are fairly competitive basins. And we feel like given our asset footprint, we can compete very favorably based on incremental capital required to win this business. And so we're very focused on leveraging our existing investments and where to pick up accretive contracts relative to what we have today.
Operator: Our next question comes from Daniel Lungo of Bank of America.
Daniel Lungo: Just real quick, going back to the balance sheet. When I run the 2020 CapEx and EBITDA numbers, it looks like you're going to be a touch above that 4.5x leverage target that the agencies lay out for IG for gathering and processing names. Obviously, it's likely the agencies don't make a move until there is more clarity with Oxy, but could just kind of talk to how your conversations have been going with agencies around the rating?
Michael Pearl: Yes. Thanks for the question. This is Mike. The conversations have been very consistent with what you've laid out in terms of kind of the goalpost for what they're looking for in terms of investment grade. I think first and foremost, I mean, is absolutely committed to maintaining its investment grade status, and we will work to defend that rating in any way that we can. I think the conversations with the agencies are not surprisingly -- have focused more on how organically we can work to reduce that leverage ratio. Earlier on the call, we discussed that the third-party assumptions in our 2020 plan are based on currently contracted third-party volumes. And so any incremental third-party business that we're ever able to bring into the portfolio would be incremental to what we've preliminarily guided to yesterday. In addition to that, I think standing Western up as an independent business unit within Occidental will provide us plenty of opportunity to realize operational efficiencies that again will help us bolster the EBITDA such that organically, we're bringing down that leverage ratio over time.
Michael Ure: EBITDA and capital ideally, right, so that we can get some -- drive some efficiencies through both of those preliminary outlook estimates.
Michael Pearl: Yes. And finally, we are looking at portfolio optimization as we move forward to the next chapter of WES so to speak. And so I think we have several levers to pull from -- to get that ratio back in line with what the rating agencies expect and quite frankly, what we expect of ourselves.
Daniel Lungo: Great. That's really helpful. And then next question may you not be able to answer. But what's been your thought process around turning out that roughly $3 billion of prepayable debt that you have outstanding? Obviously, I know it's sensitive, so just whatever you can say on the subject.
Michael Pearl: Yes. No problem. We have roughly, call it, 15 months to opportunistically access the debt capital markets to get some favorable pricing in and around refinancing the term loan. I think as the month, sort of, progress here and there is more clarity with respect to Occidental and Occidental sponsorship of Western, I think that we'll start to see improvements in terms of some of the spreads that we can avail ourselves of in the debt capital markets as we move forward. And so we are keenly looking at our opportunities to refinance the term loan, and we will strike so to speak when we deem it opportunistic.
Operator: Our next question today comes from Sunil Sibal of Seaport Global Securities.
Sunil Sibal: Most of my questions have been hit. But I just want to go back to one point, which was based on the Oxy call. Seems like Oxy indicated that they were looking at ways to deconsolidate/divest it. I was wondering if you have any views on that, especially when you talk to the rating agencies, if there is any sensitivity around that point.
Michael Ure: I'll go ahead and respond first and then turn it to Mike if he has additional comments on the rating agencies. Again, we can't speak to Oxy plans as it relates to WES. That said, we expect to have a very meaningful and long-term relationship with Oxy. We expect Oxy to have an economic interest and alignment with WES for the foreseeable future. And so from a WES standpoint as we look at it regardless of whatever the ownership structure is, we're going to be partners with Oxy related to their development plans for the foreseeable future. There's going to be alignment there, we're going to continue to have strong interaction with them. And so we feel very positively with regards to that relationship regardless of whatever the ownership structure might be. Mike, any comment as it relates to -- or anything to add on the rating agency side?
Michael Pearl: Yes. I think we've run the company from a rating agency perspective on a standalone basis from the beginning of time, I don't think any of that is going to change. I think Occidental stated on its call today that it plans to maintain a significant ownership interest in WES for the foreseeable future, which we believe to be important. That's going to help us, both in terms of what the rating agencies are willing to ascribe in terms of value to sponsors support, we think it's very helpful. And at the same time, we like the idea of Occidental maintaining a significant equity interest such that as a very large unitholder, they are aligned with us in terms of supporting us such that we maintain our investment grade rating because we think that rating is critical to execution of our underlying business, which obviously is very important to Occidental as it paces its own onshore growth over the coming years.
Sunil Sibal: Got it. And then just one last clarification for me. I think in the past, the leverage ratios that have been talked about are within 3 to 4x range. So obviously, 2020 may -- is a little bit above that. I was wondering is there any [indiscernible] that thought process? And if not so, when do you think you could go to the middle of that range?
Michael Pearl: Well, in terms of 2020, obviously, the goal is to get as close to four as we can and then below that as we move into 2021 and hopefully back to what I call presimplification type ratios by exiting 2021.
Operator: And the next question today comes from David Amoss of Heikkinen Energy.
David Amoss: Just wanted to see if you could provide a little bit more color on your portfolio optimization comments. Maybe just the criteria that when you look at your portfolio, what makes something core or noncore to you going forward?
Michael Pearl: Yes. Unfortunately as you probably would guess, I can't provide a lot of clarity in terms of what we're thinking at this point in time. It's an ongoing and continuous analysis that we will continue to undertake. But it is absolutely something that we will look at as we move forward and look to reduce the leverage ratio going forward.
David Amoss: Okay. Just a quick follow-up. And you may not be able to answer this either, but we've always used the Delaware and the DJ as two very core assets to you, has that changed at all? Or could that change, would you look at potentially selling 1 of 2 assets.
Michael Ure: Those are absolutely very core to us, definitely has not changed.
Operator: And our next question is a follow-up from Jeremy Tonet of JP Morgan.
Jeremy Tonet: Not to beat the dead horse here, but just -- with regards to maintaining the investment-grade rating and the different leverage you have at your disposal, just wondering if you could talk a bit more about the appetite to issue hybrid securities to minimize dilution at this point with how the equity is yielding. Or any thoughts on the distribution, whether it would ever make sense to pick or reduce or anything else I guess as far as the different leverage you have, how you would rank those?
Michael Pearl: Yes. I guess at this in time, any and all options are on the table, but to get too specific at this point in time would be probably premature. But we are familiar with absolutely everything that you cited, and we are analyzing all of the options available to us. But again, I think first and foremost, we'll look organically to see what we can achieve, both in terms of attracting additional third-party business and the operational improvements that without a doubt should come as we continue to sync up with Occidental and stand WES up an independent business unit within Occidental.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to Michael Ure, CEO, for any closing remarks.
Michael Ure: Thank you, everyone for joining the call. We really appreciate your attention. Thanks again to all of the dedicated employees for their hard work, both in the past and in the future. And everyone, please stay safe. Thank you, all.
Operator: And thank you sir. Today's conference has now concluded. We thank you all for attending today's presentation. You may now disconnect.